Scott Callon: Thank you, everybody, for waiting. I'm Scott Callon, Chairman of Ichigo. I am joined today by Dan Morisaku, who is a senior member of our Finance team and the Head of Global IR. Thank you so much, everybody, for joining us today. We're working off of the presentation in front of you, which is also on our website, FY, fiscal year '26 February. So ending next month, the Q3 corporate presentation. So let's go to it. I think the overview is that it's both a strong operating environment, but more importantly, what's happening in real estate in Japan is deeply in line with the core capabilities of our firm. As you know, we are a value-add investor. We, in principle, don't do development. I'll talk a little bit about what we've done in logistics. And as we say internally, when people ask me, can we do development, it's like only if you don't take development risk. So we did -- we've done it with logistics. We specialize in taking existing assets, preserving and improving real estate -- existing assets and improving them. Because of inflation, construction inflation -- and by the way, this model is the right model for not only Japan, but for the rest of the world, but Japan has classically done a lot of destructive redevelopment, which is economically and ecologically wasteful. And so what's happened now is much of that uneconomic development has become even more economic because of rising construction costs. And so -- we just have a massive opportunity, much less competition from redevelopment, much better opportunity to add value for our shareholders. So it's a very powerful operating environment for us. The results of -- kind of show up on a quarterly basis and will be coming at you going forward. But business profit year-to-date up 25%, EPS is up 24%, cash EPS up 19%. We've got growth both in stock earnings, up 9% and flow earnings up 31%. We will hit -- we are forecasting and we will definitively hit record earnings this year, growth in net income, growth in EPS. We think there's upside against the EPS and the ROE numbers in part because of buybacks. We did announce today that we're expanding or doubling our existing buyback to JPY 10 billion. That's both a reflection of the fact that we are enormously cash generative, one and, two, we are very sensitive to being capital efficient for our shareholders and being cash generative means you have the cash to reinvest in your business in any sort of way to drive EPS, you could actually buy assets. You can do non-asset activity. You can also buy back your shares as we're capable of doing all of the above. We're also canceling about 7% of our shares outstanding. And again, that's just a reflection of we're taking in the shares and we're getting rid of them. They will not be coming back into the market. So this EPS growth is structural. We acquired one hotel in the period. It's in Osaka. And again, it's an existing asset that we will improve and 2 logistics assets in Q3. For the second consecutive year, the CDP, which is a major global environmental initiative. We're on the AA list for climate change and water security. There are 22,000 companies globally that are involved with CDP. And the number of companies -- I should look this up, so I don't -- so I'll give you the actual real number. The number of companies that qualify for a AA twice is only 145. So we're literally in the top 1% of companies globally in terms of our environmental initiatives and execution. So there are a lot of pages in this presentation. I will go briefly and hope to hit on key points without spending too much time. And I think -- mostly I already touched on this. So we'll jump to the next one. So going by segment. I think the important thing is, I will go through the segments on the following pages is just to point out, we have a portfolio of businesses united by a core commitment and core competency in taking existing assets and making them better. And that activity and the value creation expresses itself across a number of segments, which can have volatility in them. And so on a total basis, we've got business profit up 25%. That has a hotel business up 103%, Ichigo Owners up 87%, and it has sustainable real estate down 19% and clean energy kind of flattish. And you should expect to have volatility among the segments on a quarterly basis and sometimes on an annual basis, but the core capability expresses across the segments, and we try to be smart about deploying our capability in the areas that are going to be most profitable. So volatility within the segments and robust stability and growth from the diversification and the growth in these individual businesses. On the asset management side, I think the only thing really pointing out is -- worth pointing out here is we had a full year forecast of down 31%. One of the things you should know is that we have stock earnings, which tend to be relatively stable in this business because of stock earnings. We also have primarily performance fees that come off of our listed REITs. We are not the decision makers for those REITs. They have independent boards. They are run for the REIT shareholders. They're run tenaciously for the REIT shareholders. We are not able at the beginning of the year to say, Ichigo office is going to do this and this and this, and so let's price it into -- or let's put it into our forecast because that would be totally wrong. We do not make the decision on that. The REIT makes a decision on it. So what it means is year after year, we show up. And yet, we run the REITs really, really hard, and we do monetize the value that's created. And we do, as Ichigo Inc. 2337, get the performance fees on those monetizations, but we can't put that into our forecast. It would just be wrong. It's not the right governance. It's not the right approach. And so just a reminder to you that every year, we will undoubtedly crush our forecast. Year-to-date, we've already hit the full year number -- we will beat the full year number very substantially. I think the one thing to point out on this -- on the sustainable real estate is one, we pull earnings are down 39% and we do have asset sales moving around from quarter-to-quarter. We expect to do a bunch in the Q4. So we would -- and so we will do well in this segment on a full year basis. And the other thing to point out is that the biggest driver of the increase in stock earnings is up 15% year-to-date is we've done an enormous job in kind of repositioning and growing value at our single biggest asset, which is a massive former headquarters building for [indiscernible] on Tokyo Bay and the NOI returns from that are very, very powerful. And hotels, I think really the only thing to point out is kind of 2 things. One, this is a very productive business. And two, and I'll talk about it a little bit later, there does -- you do get impact sometimes some activity, for example, the current kind of Japanese/Chinese geopolitical tension has pushed down a number of Chinese tourists, coming to Japan is not particularly impactful on us because we don't tend to target that segment. But this is a powerful growth driver for us and one that we also -- all need to understand together, has more potential earnings volatility to it and which is why we're careful in not overgrowing the business, one; and two, making sure we do things such as growing out THE KNOT series, which is our boutique -- Ichigo's own branded boutique hotel, which is an enormous, enormously powerful offer that has very high returns on capital. Ichigo Owners, up very large year-to-date. I don't think we're going to -- this also increasingly -- it started as a business 9 years ago that targeted kind of single asset sales, primarily targeted to cash-rich incorporations and individuals at this point has become a much more bigger lot business where instead of selling asset for $5 million, you're selling kind of 25 assets together for $150 million. And so it has more kind of activity moving around depending on what quarter we do the asset sale on this one, but it's a business that continues to grow well. Clean Energy, power production up a little bit year-on-year, some increase in operating costs, so basically flat year-on-year. I've already kind of touched on -- we're going to expect record returns. So we'll go forward. Page 17, as you know, we are very, very focused on being structurally profitable, and we deliver that for you. We're a company with now a 25-year operating history. We went through the financial crisis. We went through COVID. It's really, really important for us to be able to allow our shareholders know that we are, as I say, structurally profitable. We have a massive amount of stock earnings, which are overwhelmingly higher than our fixed expenses, and that's how we continue to deliver that for all of you. On the right-hand side, it shows how stock earnings and flow earnings break out. As you can see, I think the most important takeaway here is that Ichigo Owners is primarily a flow business and the other ones kind of tend to be more balanced. We think it's important to have ongoing disclosure. So on a quarter-to-quarter basis, we're not something that kind of like, oh, this is going well, so we put it in and now we're going to take it out. So I mean, this is kind of ongoing disclosure. I won't go into detail. Page 18, Page 19, Page 20, which shows we are long-term borrowers; Page 21, which shows what's happening with our borrowing activity. We have -- it's in the footnote, but we have 61% of our borrowing cost fixed through hedges. That's been helpful given the increase in interest rates. And I would point out that a difference between 1% and 1.43%, which is what the average interest rate is, has gone up over the last 2 years. It seems big, but guys, it's only 43 basis points. It really is not material. It's far more material as to how we're deploying the capital and it's far more material, and I've made this point before, that we now -- and as I talked about how the operating environment is so in tune with what we're doing, our construction cost inflation, and we are along that as a firm, meaning kind of as construction costs go up, when you're a classic developer model, you can't make the pricing work anymore. You can't put up assets without kind of increasing rents, literally 30%, 40%, 50%. So we are very CapEx-light, very capital efficient, very light construction and therefore, very long construction inflation because it damages our competitors in a way it doesn't impact us. So the fact of the matter is that because generalized inflation has gone up, we're seeing a rise in interest rates, which is an incredibly minor negative for us, but more fundamentally, there's been an increase in construction costs, which is running 2 to 3x the generalized inflation rate, which is incredibly important for our business and the social contribution we make because we want to have good assets in Japan at the lowest possible price, and that's the core deliverable and capability of the firm. Just to turn to kind of what buy-sell activity looks like. I think the broad information is probably most readily seen on the table on the bottom. We've been slight net sellers of retail. We bought some logistics assets, we'll talk about it in some detail. We picked up some hotels, which, again, this is part of -- these are going to go into primarily Ichigo brands. We have a high-end boutique brand called THE KNOT. We have also a kind of a value for money brand called OneFive. Both have been powerfully successful. So increasingly, we're going with our own brands. Again, that's a way to deliver higher returns without using capital. And year-to-date, we've been net sellers for Ichigo Owners, which is brand-new prime, primarily Tokyo Prime Residential. That's how it breaks out. We'll go to the next page. So you don't have to listen to me endlessly. So we have -- we brought online 3 new logistics centers. These were all development projects. And so to go back to the point that I said earlier, our rule is if you kind of do development, you can't take development risks. So this was build-to-suit with a buyer signing the master lease with us on the day that we've decided to buy -- that we agreed to buy the asset. So to be clear, we are not in the business of taking development risk. So these are all assets that have come in line. And we know the cost upfront. We knew the economics going forward and it's an opportunity for us to do something in an interesting sector. As you know, e-commerce continues to grow everywhere in the world. It's growing in Japan, which has lower penetration both -- this is both kind of classic warehouse and cold storage, both of which are growing well. So these are assets that are very valuable. And over time, what happens is since we agreed on them and began construction previous to the current construction inflation, we've got them at prices that are low relative to current market pricing and what's happening with construction inflation Is getting worse rather than better. So we expect that we would generate even higher returns going forward. I talked about a little bit of hotels earlier. You can see that our RevPAR, so revenue per available room is up 18% year-on-year. A little bit of a slowdown in November, December, and January because we do have some amount -- small amount of Chinese inbound exposure, but not particularly material. For the most part, the result of the slowdown there is that we're having a substitution effect of non-Chinese travelers. It means that we thought RevPAR is going to go up more, and it's not, but really not any material impact on us. Owners, again, this is kind of just an update of the classic material we provide. We are actually really, really good at this point. We have been doing residential for 9 years now. This is, if you can call it, kind of a fabulous model. We don't do the construction ourselves. We design with the developers, the kind of prime real estate, prime residential -- and this is multifamily residential that we want. They build it to our spec. They take all the risk on the construction. We then lease it up using our own leasing capabilities and that's an extraordinary kind of rich and advantaged kind of understanding of the market and we deliver just super powerful economics to our shareholders. Average hold is less than a year and the IRRs are kind of -- and ROEs are uncountably high, which is a nice thing. And so -- I'm sorry, go ahead. We'll go to the next slide. And so we -- it's an interesting question on this forecast, though. One of the things, that's a good thing, is we have pricing power. And so we've expanded the number of channels that we have. And it's a very strong market with, as I said, very high demand for our product, which is you take existing real estate and you improve it. And so we don't know if we're going to hit the forecast on Owners this year in part because we're trying to figure out -- I mean, it's -- we have buyers and it's like is it going to -- are we going to complete in the fourth quarter? Are we going to complete in the first quarter of next year? So we'll see what happens with that. As a broad statement, we know we're going to hit this year's numbers and beat them. So we'll see -- if we end up doing this in the fourth quarter, we'll beat them by more. If we ended up doing in the first quarter, we just have a running start to next year. It's one of the things that it's important to us and as our shareholders and investors, I think it should be important to you. We do not -- we're not in the business, and I've seen a lot of Japanese companies. We have this thing as like we need to hit the numbers for the fourth quarter. And therefore, this is not the best pricing, but we're going to have to sell. We do not do that. We make sure we have 6 ways to get to the yes, and we'll choose which one is the most optimal. So in the case of Owners, we have transactions that occur. We don't know if they close in the fourth quarter. We don't know if they close in the first quarter. We have absolutely no rush to close in the fourth quarter if there are better economics available in the first quarter next year. So we'll see what happens. We launched a private residential fund. As you know, we acquired a asset management company last year and is focusing on private funds to again, to grow. This is in part growing our sales channels and our capability to exploit sales channels. There's a market for private funds that we wanted to do more in. That's the good news. We did not, however, do a new security token launch this year. And so that's kind of worth thinking about kind of the positives and the negatives. To start with the positive, it's because we didn't need to. We had other places to sell our product. And so we chose to sell via different channels. The negative, though, and maybe we shouldn't call it negative, it's kind of an area that we should think about what we want to do about it. It's in part because we -- at this point, we're putting -- every time we do a security token, we sell that out instantly. So there's huge investor demand. But we are placing these via Japanese securities firms. And so what's happened over the last year was, we had kind of a bunch of stuff happening in the world and the securities firms are very capital market sensitive. And they're like, well, we think we want kind of -- we want lower pricing on this. And it's like, no. We can sell these assets, these improved digital assets to like 5,000 other buyers. So we're not going to give you at lower price. So what do you want to do? It's like, oh, okay, well, I guess we still want to do it. But let's look at kind of the market environment. It feels little risky right now. Can we do this in 3 months? Can we do it in 6 months. So we're constantly generating new products. So yes, we can do those things. But does raise the question as whether or not we should have our own -- put it on the blockchain directly ourselves. And so -- this is a very robust product. It's an extraordinary powerful offer. We are -- and I've said this before, so forgive me for repeating myself. This is effectively the REIT product being put on the blockchain because REITs are the same sort of thing, private REIT, a public REIT, we run assets really, really hard for the shareholders. In this case, we're running assets really, really hard and securitizing them on the blockchain. But it is a different sales channel and has kind of SKUs as a whole bunch of new buyers in it. They tend to [indiscernible] younger and kind of our REIT buyers tend to [indiscernible] older. So we like the category quite a bit and have ambitions to do more here. And so we haven't delivered against those ambitions this year. So we have to be thoughtful about do we kind of run forward and are we going to -- are we going to get this done with the securities firms as our brokers are doing is there something more substantial sales. So stay tuned. We'll work on that. And this is growth and diverse -- growth drivers -- actually, the growth didn't happen this year because we're expecting to do stuff more in the security token space. We didn't. We had some stuff come to expiry. I pointed out last quarter that we actually offered -- ended up delivering double the return, which we had marketed to our investors in our first security token. So that was a fabulous success. As I tell you, our offer sells out instantly. And so we really do like the blockchain opportunity. We want to do more there. And that's why I say we're going to think about how we will achieve that. In terms of the Clean Energy business, we're shifting our attention, and we've talked about this before, to battery storage. We think it's a really interesting opportunity. We've got some things that were going on there. There is a need which Japan has a very substantial clean energy -- growth in the Clean Energy mix and volatility around that from -- primarily from solar to do something with batteries because battery pricing has come down so much. It is now at this point, economic for us to do things in the space, and we expect to grow that business. We are buying back our shares. We think they are -- we're currently trading at about 11x earnings and that's accounting earnings. And as you know, our cash earnings are substantially above that, 30% above that. So we're trading sub-10 PE with a business that is really powerful with an operating environment that I've told you, there's been a structural change and appear structural and we'll -- because it's showing durability at this point. With the continuing decline of construction labor force, that's what points to the structural nature of cost inflation in construction, which is a very, very strong driver for our business because it damages kind of the classic Japanese development model, which is a primary amount of real estate construction in Japan. So it's really, really good for us. It is an opportunity for us to massively grow our market share. Anyway, we don't think that's being reflected in the current share price, and so we're buying with a bucket. So we doubled our buyback. We're canceling shares, as I said earlier, because it's not coming back in the market. This is a permanent growth in EPS. We grew our dividend. You can expect us to continue to grow our dividend going forward. We still have a J.League shareholder program, which a number of first [indiscernible], and we're just going to keep on running forward. I talked about our activity on the environmental side, and it's important. Look, climate change is real. Companies like ourselves should be responsive to it -- to do something about it, and we are. That shows up most obviously in our activity around renewable energy. So we've completed a renewable energy transition, 100% of the energy we use is now renewable. We actually have CO2 reduction through our production activities that is 8x greater than our CO2 emissions, and this is probably the best measure of us as a climate positive company. And the final thing worth pointing out is that we bought, as an experiment, we don't play with our shareholders' money. We actually expect to do something powerful here. We bought a J3 club 2 years ago. We have been promoted in just 2 years to J2. That is an extraordinary positive and powerful outcome. As you know, it generates more -- I mean, this will not be a major driver of our profitability, but it has some significant branding value. And we're trying to do more. As you know, Miyazaki, which is southern most prefecture in Honshu on the main island in Japan. We have a significant amount of business activity there. We think there are some -- there are major branding, community level branding opportunities that are powerful that will drive more economics for us. We're seeing if we can take this -- we're not quite Red Bull at this point, but taking this to be a national brand as a very community-oriented soccer club that is known as an Ichigo club. So we'll do more there. But bottom line is, you can run a soccer club, you should win, and we're doing quite well. So we go to the J2, we'll see -- we have our own dreams, welcome to [indiscernible], if we can get something -- get to J1, but that's what we're aspiring to. So that's what I have. Thank you very much for your patient listening, and I'm happy to take any questions and comments.
Scott Callon: We have a question from Greg. Thank you very much.
Gregoire Brillaud: Can you hear me?
Scott Callon: Yes.
Gregoire Brillaud: I have a couple of questions. One is you briefly highlighted the hotel situation with regard to China. Can you maybe go a little bit more granular in terms of if you are seeing more of a deterioration vis-a-vis kind of end of November or early December perhaps? Or do you feel that on the ground, the situation is fairly stable as we head into Chinese New Year in the middle of February would be my first question. And the second question would be indirectly related to the cancellation of treasury shares. I guess this means that in terms of potential domestic M&A opportunity. Maybe there is not something that is immediately palatable to the firm. But at the same token, as you know, with the rising cost and cost of sourcing assets, scale is becoming more and more and more important. As we've seen with the example of ITOCHU, slightly different business model, but obviously, ITOCHU tying up with [indiscernible] residential to help them kind of develop some sites along railway station, et cetera, for resi. As you highlighted, Scott, given that you guys have been a good -- you've built a good brand and you have a fabulous business model. Is there a way to kind of scale more with a partnership with another firm that perhaps has some assets, but not necessarily -- doesn't necessarily have the know-how or the marketing know-how so that Ichigo can kind of go into its -- the next scale of its development, so to speak.
Scott Callon: Thank you, Greg. So 2 questions. The one on the Chinese tourism, we kind of -- it fell off immediately after the kind of the tension emerged between China and Japan on Prime Minister Takaichi's comments about Taiwan. It has -- it fell off and it stayed where it is. So there's no deterioration, but also no improvement. So we would expect Chinese New Year to be down relative to last year. We don't -- it's basically not particularly material for us. It is not a significant part of our inbound business. So -- but to answer your question, there's -- it's stable, not deteriorating. In terms of the treasury share cancellation, I think the message there is -- I mean, you mentioned M&A. we do not expect -- if we buy something, and look, we are -- one has to be very, very careful about M&A and the post-merger integration issues and overpaying and all sort of things. So I would express us being much more interested in driving growth organically than through acquisitions. But if we ever to buy something, we're not going to use our shares when they're cheap. And it's probably worth pointing out that our ability to borrow well. Now base rates have gone up, but our ability to borrow well is the best it's ever been. We have all the major mega banks coming to us and wanting to support more activity on our part. It is a very -- we've a very strong credit. We deliver on what we need to do. We've been around now for 25 years. And so if we were to do anything, we can use cash. We can -- we can use debt, but we certainly want to use shares. Your idea about combining in some sort of way, I mean, in order to work with an asset-rich Japanese company where we could deploy our real estate expertise is a great one. And so, yes, that is something that is an ongoing conversation we have internally and with potential partners on that. So I mean, if we could do something along those lines, we would because there's no question we have a set of capabilities that are just far more relevant than even 3 years ago because of construction cost inflation. So companies who had classically like, okay, we have an old set of buildings. We're going to go find a general contractor and kind of have them do this for us. That doesn't work anymore. So the desire to work with Ichigo among kind of asset-rich companies has gone up and our desire to take advantage of our set of capabilities. And I think this is what you're pointing to is, it's not only that there is an economic return opportunity and a social contribution opportunity, if we partner with somebody big and powerful, there's going to be likely a significant reputation brand and probably multiple expansion and possibly even more credit support, although as I just pointed out, we just -- we're able to borrow really, really well at this point that would be powerful. So like that idea a lot. And it's something that you need to find a partner and you need to make sure you're aligned with the partner and all the sort of thing. So one has to be cautious about whether or not we can deliver on that, but it's something if we could deliver on, we certainly would like to. Did I -- Greg, did I get your 2 questions?
Gregoire Brillaud: Yes, yes.
Scott Callon: We will bring it to a close, if there are no more questions. Okay. Thank you very much. We are done. Thank you, everybody. It's truly an honor and a privilege to work for all of you. Have a great morning, afternoon and evening. Take care.